Operator: Good morning. My name is Dan and I will be your conference operator today. At this time, I would like to welcome everyone to the 2017 First Quarter Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Jack Monti, Director, Investor Relations, please go ahead.
Jack Monti: Thanks, Dan. And thanks so much everyone for joining Rogers' first quarter 2017 earnings call. To follow along with the slide presentation, please see the Investors section of our website. Turning to Slide 2, we have a disclosure on forward-looking statements. During the call, we’ll be making certain forward-looking statements subject to a number of risks and uncertainties, which may cause actual results to differ materially versus today's outlook. In addition, some of the financial metrics discussed will be on a non-GAAP basis, which management believes better reflects the underlying core operating performance of the business. Turning to Slide 3, it’s my pleasure to introduce Roger's Management team. Bruce Hoechner, President and CEO, is joined by Janice Stipp, SVP and CFO, and Bob Daigle, SVP and CTO. I will now turn the call over to Bruce.
Bruce Hoechner: Thanks, Jack. Good morning, everyone, and thank you for joining us on today's call. I'm extremely pleased to report that in Q1 2017, Rogers achieved all time record quarterly net sales and earnings. Our sales were $204 million, an increase of 27% over Q1 2016 and above the top end of our guidance. Our results were driven by a double digit year-over-year increase in organic sales with solid growth in each of our business units, as well as exceptional performance in our recently acquired businesses. Ongoing implementation of operational excellence initiatives across the Company led to gross margins of 39.4%, an improvement of 170 basis points over Q1 2016, a level that is approaching our strategic target of 40%. Adjusted EPS was a $1.67 compared with $0.94 in Q1 2016 and above the top range of our guidance. We believe that the strength in our organic and acquired businesses is sustainable and will carry forward into Q2, as demonstrated by our strong outlook. It is important to recognize that there were certain discrete items that bolstered our Q1 results and need to be considered as we look forward to Q2. I'll speak to the operational and strategic execution in our business and Janice will cover the Q1 to Q2 expectations in greater detail in her comments. Please turn to Slide 5. I would like to begin by reemphasizing the importance of our strategic roadmap as the foundation of Rogers' robust performance and outlook. Our results over the past several quarters and our strong guidance for Q2 2017 are confirmation that we have implemented a winning strategy and our solid execution is taking Rogers to a new level of performance. As a market-driven organization, we are focused on select markets that are far outpacing global GDP growth. For example, forecasts indicate that shipments of vehicles with Advanced Driver Assistance Systems or ADAS will increase at a 25% CAGR from 2017 to 2022 in Europe, the U.S. and Asia will deploy 25 networks to support the Internet-of-Things by the end of 2017. We have targeted these markets and developed industry-leading solutions so that we are well positioned to take full advantage of these significant opportunities as the markets grow. Rogers' innovation expertise is enabling us to develop a new product platform to meet the most challenging segment of the Wired Internet infrastructure market. Our extremely low loss material is in various stages of customer qualification at key network infrastructure OEMs. Customer testing and feedback indicates that our material enables a performance level previously thought unachievable on copper clad laminate systems. This success was enabled by marrying Rogers Technology with technology acquired from online resulting in breakthrough innovation. In Q1 we continue to execute on our M&A strategy completing the acquisition of Diversified Silicone Products Incorporated. We are progressing well in our integration of both DSP and DeWAL Industries to achieve early wins and augment the product portfolio and technology capabilities of our EMS business. For example, we are qualifying existing Rogers' equipment to meet exciting new product opportunities within the acquired PTFE product line. Our approach not only allows us to avoid CapEx but also enables us to react quickly to seize revenue opportunities by satisfying customer requirements and market needs in real-time. Our success here is a compelling example of how we can leverage Rogers capabilities to create additional synergistic value from our acquisitions. I am proud of the close cooperation across the entire Rogers organization to help drive this achievement forward. Our operational excellence initiatives are helping us improve profitability in four key areas, footprint rationalization, process improvement, optimizing cost structure, and back office utilization. In our PES business, yield productivity and throughput improvements help to deliver an adjusted operating profit increase of over 130% in Q1. We have refined our growth strategy by business unit to enable ACS, EMS and PES to capitalize on their individual market opportunities and capabilities to accelerate growth. At the bottom of the slide, we have included our target of achieving top quartile operating profit growth when compared to our peer group. We believe this is a good indicator of our success combining top and bottom line growth to deliver leading shareholder returns. Turning to Slide 6, we are confident that our technology portfolio, marketing initiatives and new product pipeline are well aligned with the growth drivers of advanced connectivity and advanced mobility where our solutions are proven, innovation is valued and the growth outlook is compelling. In Q1, the advanced connectivity and advanced mobility sectors accounted for approximately 53% of Rogers' sales. Turning to Slide 7. From an M&A standpoint, our team continues to actively identify and pursue synergistic opportunities in the marketplace. We target businesses with market and technology leadership that provide differentiated products for highly engineered applications. Our objective is to strengthen our current product lines or in some cases provide a new growth platform. Since early 2015, we've executed on three accretive value adding transactions including Arlon and more recently DeWAL and DSP. We are encouraged by our effective M&A execution and integration and we believe that we have the right strategic focus, management debt, and financial strength to continue to add value enhancing businesses. Please turn to Slide 8. ACS achieved all time record revenue growth in Q1 2017 driven by continued strong demand in ADAS, as well as in aerospace and defense. Market demand in the 4G LTE wireless telecom sector was softer than the first quarter of 2016, although in line with expectations. Rogers has achieved several substantial 4.5 G design wins as telecom equipment OEMs and telecom service providers move to the next level of system performance. Looking ahead, we are very encouraged by the acceleration in the development of the 5G technologies. As an innovation leader in high-frequency circuit materials, we believe this step towards even more demanding performance requirements will provide significant opportunities for the ACS business. We continue to work closely with our customers to aggressively pursue new business in this area. In addition to the accelerated 5G introduction, there are many other promising opportunities within the ACS business. As we saw at the Consumer Electronics Show earlier this year, a number of automotive OEMs are offering more models with ADAS features and fast tracking their plans to introduce cars with autonomous capabilities both of which utilize Rogers Technologies. Overall, we continue to broaden the ACS portfolio of wireless infrastructure, wired infrastructure, advanced mobility and aerospace and defense solutions to meet unsolved needs in the market. Please turn to Slide 9. In EMS, demand across all of our product lines contributed to double digit organic growth in the portable electronics, general industrial, automotive and mass transit segments. Significant contributions from our acquired DeWAL and DSP businesses helped EMS achieve all time record quarterly net sales. As we look ahead, we expect to see continued penetration in the back pad solution for portable electronics, as well as in high performance gasketing for automotive applications. In addition, we anticipate more early wins as we integrate the acquisitions. Strategically we are actively exploring additional acquisition opportunities to expand our current EMS product portfolio and technology capabilities with complementary high-end, high performance and high margin polymeric materials. Please turn to Slide 10. PES is also off to a very strong start in 2017 across all regions. Net sales during the quarter increased due to broad based demand in many key markets, including renewable energy, hybrid electric vehicles, variable frequency motor drives, rail, and laser diode cooling products. During the quarter, government mandates and consumer demand continue to drive adoption of eMobility applications particularly in electric and hybrid electric vehicles. PES is making solid progress in its operational excellence initiatives. On strong buying, the team has effectively reduced scrap rates and lowered our energy and freight costs. Also in PES, we're in the process of consolidating our [indiscernible] and Afrikalaan facilities in Belgium to achieve efficiencies while reducing our manufacturing footprint and operating costs. Looking ahead, we expect to see continued growth in PES particularly in clean energy applications such as variable frequency drives, renewable energy, and advanced mobility where the outlook remains strong as we maintain our focus on driving profitability through operational improvements. Turning to Slide 11. We will continue to monitor the global markets for situations that could affect our business and we will adapt with agility should just occur. In some areas, it appears that regulations could be lessening and tax policies may be changing both of which are increasing business confidence. And we are vigilant regarding other indicators such as commodity pricing and geopolitical uncertainty. In summary we are off to a tremendous start in 2017. We believe Rogers has broken through to a new sustainable level of performance that will deliver additional value to our shareholders. I will now turn the call over to Janice who will report our Q1 results in greater detail, as well as additional financial highlights. Janice?
Janice Stipp: Thank you, Bruce. And good morning, everyone. Our Q1 results were outstanding with another quarter of robust sales store, margin expansion and earnings growth. Our strong sales included acquisitions, demonstrate our success in developing our portfolio, our market relevant products that provides solution to our customer needs. As you'll see in the presentation today, the momentum we experience in Q3 and Q4 accelerated into the first quarter of 2017. Now if turn to Slide 13, I’ll review of our first quarter results in more details followed by the second quarter guidance forecast. Q1 2017 revenue as previously noted was 204 million, a record quarter which exceeded both our guidance in Q1 2016. Our growth was primarily the result of strong volumes across all our business units and recent acquisitions. Adjusted operating margins was up 530 basis points from 16.9% in Q1 2016 for 22.2% in Q1 2017 primarily due to higher volume, favorable performance and the acquisition revenues and synergies. Adjusting operating income was $45.2 million improving $18 million or $27.2 million compared to last year. Adjusted EBITDA of $54.3 million include $20.4 million or approximately 60.4% compared to the first quarter of 2016. Net income of $27 million in the first quarter of 2017 was up $12.1 million versus the prior year or 400 basis points as a percent of revenue. First quarter 2017 adjusted earnings per share of a $1.68 exceeded 2016 first quarter by $0.74 but was above the mid-point of our guidance range by 50% and with a record quarter for the company. Please turn now to Slide 14 for the review of our quarterly revenue. Our revenue was up 26.9% on a year-over-year basis. The first quarter effective currency exchanges rate unfavorably impacted revenue by 1.6% or $2.6 million primarily due to currency devaluations in renminbi and euro. Our organic revenue was up $22 million or 14.3%. The acquisition revenues were $22.7 million or 14.1%. More specifically, EMS [indiscernible] trends across its market with increased sales in all regions. Growth was driven by the acquisition and higher demand in portable electronic, general industrial, automotive and mass transit. PES had strong revenue across its market including growth in renewable energy application, ACBs and laser diode cooler products. ACS has strong growth in automotive ADAS and increased sales in aerospace and defense, partially offset by weaker demand in wireless, power amps and Internet application. Looking at our Q1 2017 adjusted operating income on Slide 15, first quarter result increased by a 530 basis points or $18 million compared to 2016 first quarter. This is primarily due to favorable volume and performance driven by increased capacity utilization, operational process enhancement and automation, conversion of fixed cost structure to variable where possible. Cost structure enhancement due to expansion of manufacturing capabilities within a low cost country footprint, favorable healthcare expenses and the synergies of our recent acquisitions. Fixed income was partially offset by a $3 million increase in SG&A due to the acquisitions, increased depreciation and slightly higher R&D investment. Now let's look at our adjusted EBITDA on Slide 16. Adjusted EBITDA at $54.3 million increased by $20.4 million in Q1 2017, as compared to first quarter of 2016 and improved as a percent of revenue to 26.6%. This increase was driven primarily by many of the same reasons just noted during our discussion of adjusted operating income such as stable volume, and stable performance. In addition, miscellaneous income expense was favorable by $1.5 million primarily due to the gain on corporate derivative, reevaluation of foreign currency, intercompany loans and JV income. Partially offsetting this was a $2.6 million increase in SG&A due to the acquisition, professional services in IT, and slightly higher R&D investment. Turning to Slide 17, we exceeded the top end of our Q1 2017 guidance range for adjusted earnings per share, as well as exceeded our Q1 2016 adjusted earnings per share by 78.7% or $0.74 resulting in $1.68 in adjusted earnings per share for Q1 2017. As the slide depicts, the $0.74 increase was primarily due to 60% of favorable volume in other, $0.12 favorable performance, $0.06 favorable to the lower tax rate at 32.3% versus 35.2%, $0.04 favorable miscellaneous and expense offset by $0.11 unfavorable SG&A investments and $0.01 unfavorable due to higher R&D investment. If you turn to Slide 18, you’ll see our Q1 2017 segment revenue. ACS, EMS, and PES segment revenues increased by 7%, 65.9%, and 21%, or by $5.2 million, $30.5 million, and $7.4 million respectively. More specifically, in Q1 of 2017, our ACS segment revenue increased mainly a result of increased demand in high frequency materials for automotive ADAS and aerospace defense. These gains were partially offset by lower demand of wireless 4G LTE applications. The EMS segment revenue improved 65.9% in the first quarter. Organic sales increased $7.8 million or 16.8% due to higher demand of portable electronics, general industrial, automotive, and mass transit application. In addition, the recent acquisition revenue contributed $22.7 million. Finally our PES segment was the second fastest growing segment, with 21% growth in revenue, principally due to renewable energy, batteries, variable frequency motor drive and laser diode coolers. Looking at Slide 19, you’ll see our segment adjusted operating income. First, ACS adjusted operating income was $20.4 million up $2.4 million from Q1 2016 or 280 basis points as a percent of revenue. This was primarily due to favorable impact of volume and mix, favorable performance due to productivity improvements focused on cost containment efforts, operational process enhancement and automation, converting fixed cost structure to variable and favorable capacity utilization. These favorable impact have been partially offset by unfavorable pricing as a result of certain volume related pricing commitments, tax on commodity purchases, foreign exchange and slightly higher price due to increased volume, SG&A and R&D investments. Next, EMS adjusted operating income was $17.2 million, up $11 million from Q1 2016 or 900 basis points as a percent of revenue. This increase was primarily due to favorable impact of acquisitions and volume increases in the portable electronics, general industrial, automotive, and mass transit applications stable performance as a result of operational excellence initiative partially offsetting these favorable are slightly higher corporate allocation due to the acquisition and increased SG&A and R&D investments. PES adjusted operating income was $5.7 million, up $3.3 million from Q1 2016 or 660 basis points as a percent of revenue. This is mainly due to favorable volume across this market and productivity as a result of operational excellence initiatives as well as leveraging our Eastern European footprint and partially offsetting these favorable items are FX, slightly higher SG&A and R&D investment. Turning to Slide 20, you will see we entered the quarter with a cash position of $186.1 million. Rogers had another quarter of solid operational cash flow of $23.2 million. This represents a decline however of $3 million as compared to 2016 mainly due to increased accounts receivable associated with the higher revenue, although we had an improved DSO metric. Additionally, in 2017, we also improved higher incentive compensation payout relating to the strong performance in 2016. On the chart, you’ll also note that we had $60.2 million cash usage related to our acquisition of diversified silicon products in January of this year. Cash, tax of savings 2017 of $4.8 million was approximately $1.5 million higher than 2016, in large part due to the increase during although the effect of tax rate was lower at 32.3% versus 35.2% last year. Lastly, we also had invested $5.2 million in capital expenditures during first quarter of 2017 or 2.6% of revenue. Taking a look at our Q2 2017 guidance on Slide 21, revenues are estimated to be in the range of $190 million to $200 million recurring range of $0.98 to $1.08 per diluted share. On an adjusted basis, the guidance is in a range of $1.16 to $1.26 per diluted share on an adjusted earnings per share basis. At the mid-point, our Q2 2017 revenue guidance represents a year-over-year revenue increase of 23.8% compared to Q2 2016. This revenue guidance includes anticipated unfavorable currency fluctuations of 3.3% or $5.2 million. On a sequential basis, the mid-point of our guidance range is approximately $9 million lower first quarter revenue with a slight deterioration due to the FX assumption and software layer 4G LTE revenue assumption. The deterioration in the wireless revenue is consistent with the trend we are seeing over the last couple of years with the second quarter wireless telecom business versus the first quarter and recent customer discussion. Guidance for the earnings per share has a mid-point of $1.03 per diluted share which reflects an increase of $0.74 per diluted share compared to earnings per share in Q2, 2016 of $0.29. On an adjusted earnings per share basis, guidance has a mid-point of $1.21 per diluted share which is $0.33 or 37.5% increase from $0.88 in Q2 2016. This year-over-year increase is primarily due to higher volume, improved operational performance, partially offset by higher commodity prices and SG&A. On a sequential basis, we’re forecasting a $0.47 decline in adjusted earnings per share from a $1.68 to $1.21. Roughly $0.20 of this decline was due to the wireless revenue reduction and generally higher margin products. Approximately $0.21 is due to Q1 2017 one time income in SG&A and favorable results on derivative contracts and the remaining $0.06 is due to the R&D and SG&A expenses we timed to the second quarter. So the full year 2017, Rogers expects capital expenditure to be in a range of $30 million to 35 million and the effective tax rate to be approximately 32% to 33%. While our Q2 guidance was slightly lower demand, slightly unfavorable FX and does not have a benefit of some one time favorable income credit Q1 2017. The Q2, 2017 guidance is anticipated increase adjusted earnings per share over 37% versus Q2 2016 with revenue growth in double-digit ranging from 24% growth on reported basis. 27% were adjusted for FX and FX adjusted organic growth of 13%. In summary, Rogers will continue to deliver profitable growth and superior shareholder return over the long-term and we view the first quarter results as a proof point of our long-term potential. The first quarter of 2017 was a great start of the year and continued started earning of delivering long-term value creation. I will now turn the call over back to Bruce.
Bruce Hoechner: Thanks Janice. This concludes our prepared remarks. We’ll now open the line for Q&A.
Operator: [Operator Instructions] Today's first question comes from the line of Craig Ellis with B. Riley. Please go ahead.
Craig Ellis: Thank you for taking the question and congratulations to the team on very strong execution in the quarter and outlook. Bruce I wanted to start with a question for you, you’ve mentioned in your prepared remarks that there some complementary opportunities in the elastomeric business can you go into more detail on what you're seeing there and how we should think about some of the milestones for those opportunities over the next couple quarters or years whatever is relevant.
Bruce Hoechner: So in the EMS business with the acquisitions with DeWAL specifically I mentioned some of the work that’s been on going in the organization to get equipment from one of our other businesses lined up to support the demand that we’re seeing and this demand is really around the automation of manufacturing related to OLED displays and much more related to the robotics involvement and our products being used in that build out. So from our perspective we are very similar go-to-market approaches with the acquisition the two acquisition properties so we’re able to leverage our capabilities on the sales side of the house. I think of particular interest is where we've already seen in the regions outside of North America some my uptick in customer engagement and some wins already in the acquired businesses in other regions. So as we move forward we’ll continue to see I believe the synergies from the sales side, but also the synergies internal to the company around our capability in manufacturing to utilize broadly the network of Rogers.
Craig Ellis: And that sounds encouraging, thank you following up with Bob. Bob in the prepared remarks there was mentioned of a couple things that I thought were striking at CES one was the real significant step forward in automated driver assist for those that were there presenting. And then more broadly it's been pretty clear since Mobile World Congress that it seems like 5G is pulling in terms of launches instead of pushing out as we've seen historically with some of the higher-speed next generation standards. Can you just help us on two fronts one with regards to automated driver assist help us understand the breadth of Rogers participation with manufacturers that are moving that direction and on 5G. What are some of the milestones we should be focused on for its deployment over the next two to three years?
Bob Daigle: Yes, so Craig we’ll start with the advanced driver assistance systems and I think what we’re seeing and as you point out we started say yes we’re the major OEMS have made a significant commitment to adding these capabilities an anecdotally and shopping for vehicles. I'm seeing really a standard feature you on basically mainstream vehicles that are now it’s being provided with the adopted cruise control, the blind spot detection, the transverse sensors. These are primarily radar based and our participation is very, very broad we’re working with all the major providers of these advanced driver assistance radar systems. The generation today is really driven towards the Cist the future as we all see it is really towards the autonomous and that will continue to build on the sensor technologies which we participate in very broadly. We are very pleased with a strong performance in Q1 you continue to see market reports out there that the growth projections are 25% to 30% and we've generally seen stronger growth than what's being projected. And I think part of that is – there is two factors one is the adoption rates across various platforms of vehicles the other factor is the increased number of sensors per vehicle and that as you start to migrate from simply having blind spot detection to the adaptive cruise control and transverse sensors you ended up adding more sensors which is obviously very beneficial for us. So all in all I think there seems to have been a little bit of acceleration in these systems. We're seeing it in the trade shows as you point out Craig and I think we’re very encouraged with what we saw in the first quarter. On the 5G front yeah so that’s another area where I think if you’d have asked people six, nine months ago there were concerns about how quickly 5G standards were going be developed. How quickly these systems were going to be deployed and again we’re seeing acceleration, we're seeing a lot of demonstrators as you probably saw at CES a couple of the OEMs basically were demonstrating very nice performance with their 5G systems at the tradeshow. There is demonstrator being deployed in some cities today. We see that as very, very positive for our business because of the complexity and two things are happening one is in order to be able to deliver the type of performance that is being targeted for 5G you've got very advanced antenna systems that are going be deployed – often referred to as massive MIMO these complex antenna structures are very beneficial in terms of utilization of circuit material. You're seeing also the frequencies go up in that in terms of being able to deliver the very high data rates. There will be migration to higher frequencies and generally that favors Rogers I mean we’re it drives our performance requirements which will typically drive up needs for our material. So what we’re seeing what we're hearing in the industry is very positive it still I think some question marks about when the big volume hits but all indications are right now that it’s going to be a lot quicker than people might have imagined six to 12 months ago.
Craig Ellis: That's very helpful. And lastly if I could one for Janice. Janice impressive margin performance and adjusted EBITDA performance in the quarter on slide 15 I believe walking to the bridge and detailing the things that were driving improved performance I think you listed five items utilization, automation, fixed to variable costs et cetera. Can you just give us a sense of where we stand in terms of the sustainability of those items and which of those items have the potential to make an even further more significant contribution to EBITDA expansion and margin as we go through the year? Thanks for taking the question.
Janice Stipp: Yes, obviously we do believe that they’re sustainable I mean we do have improvements continual and we’re putting in more automation we’re taking out all our bottlenecks that we see in our production so we should see efficiency as volume grow even further. In addition as Bruce mentioned we are in the process of consolidating two facilities in Belgium that will actually have efficiencies and further in moving some things to Hungary plant. So we see that there is even more potential in the future for the consolidation and the automation that we’re seeing and then of course flexing where possible fixed costs using a certain percentage of terms to do ups and downs of our production schedules. So we’re actually are managing it quite closely and we see some improvements going forward.
Craig Ellis: Thank you. Good luck.
Operator: Your next question comes from the line of Daniel Moore with CJS securities. Please go ahead.
Daniel Moore: Good morning. Thanks for taking my questions. And obviously impressive performance Bruce. I did want to touch a little and drill down a bit obviously you've got a lot of end markets that seem to be moving in the right direction. 4G and wireless telecom, just roughly what percentage of revenue are we looking at now in Q1 and then what type of the growth rates - did we experience or are we likely to experience on a year-over-year basis?
Bruce Hoechner: So on 4G, we are of the Corporation, it's approximately between 15% and 20% of the total. And as we look forward what we're seeing is, we seem - basically flatness in the 4G LTE area both base stations and antennas, but we also have some seasonality and I think we refer to this in the prepared remarks, what we have historically seen over the last three years is Q1 is relatively strong, Q2 tends to drop back, part of that is probably a bit of overbuild or whatever you might want to call in Q1 and then people kind of adjust their inventories going forward in Q2. And then the rest of the year tends to even out and tends to end more strongly. So our sense is that while things are relatively flat on the 4G LTE area, there is pockets of goodness let's say, certainly places like Korea, Japan we see some strength, some strength in Europe. In China we see things - as I said relatively flat, where we're somewhat disappointed is in India where there's been sort of pull back on some of the capital investment there on the telecom systems, part of that is the shakeout of the carriers there and we think sometime during the year maybe towards the second half of the year that will return.
Daniel Moore: Extremely helpful. And similar question as it relates to ADAS, I know that was kind of mid single-digit a little better, where are we as a percentage of revenue as that continues to ramp up.
Bruce Hoechner: Well, again the ADAS or auto radar systems are approaching 10% of revenue for the Corporation and we see this as we have mentioned 30% type growth rates moving forward because of the penetration there. Now certainly there is on the horizon we've seen some announcements by Board and GM and so forth curtailing some manufacturing in - towards the end of Q2 over the summer time. So we will be watching that very carefully to understand the impact that that might have on us. But the big story here is the penetration. I think Bob referred to that when he talked about his personal shopping expeditions for automobiles. We're seeing the broad penetration of blind spot, adaptive cruise, transverse, sensors across the product lines for - on mobiles not just in the Mercedes and the BMWs of the world.
Daniel Moore: Excellent, and maybe one more. Bob, maybe just take a minute and talk about - in terms of the Internet-of-Things, Rogers specific materials and enabling technologies and - just give us a little bit more color and specificity as to how the company is leveraged to that opportunity as it evolves. Thank you very much.
Bob Daigle: Yes, so there is really a couple of things, so first you've got the ongoing deployment of - they call it NB-IoT, NarrowBand Internet-of-Things, and you see there's a rollout of some of that infrastructure today in China for example and in a lot of the developed country. So, in the near-term I think that you'll see this play out, it's really traditional wireless spectrum capability that is going to rollout to support really the machine-to-machine interface technologies basically redeploying current frequently bands. But the longer term which is really the story, that's a key component of what is going to be part of the 5G standards and in terms of having the capability to - we’ll wait and see very quick communication between the devices, eventually to the point where you're starting to hear about standards being developed for vehicle-to-vehicle communications and it ties in a little bit to what we talk about in the ADAS world, where you basically, you got centers around the vehicle that are detecting things that you might be obstacles for the vehicle. But you can in the not-too-distant future when you're on the highway and there is a tractor-trailer in front of you, and the car in front of that, that your car basically has information about that tractor-trailer in front of you, it’s speed, what it’s doing, the car in front of that, and in front of that, so it's not just a question of reacting to something ahead of you that you've got - the vehicle has some insights and that's all part of this what will be a very connected world, vehicle-to-vehicle communication, machine-to-machine interface and it plays very well into again - our infrastructure business, our certain materials that go into infrastructure will be required - are required for all of those systems.
Operator: And your next question comes from the line of Joan Tong with Sidoti. Please go ahead.
Joan Tong: Hi guys, good morning. Just a couple of questions. Just wanted to ask about portable electronics. Obviously your EMS organic growth is really, really strong. So you mentioned, you called a bunch of different businesses, general industrial, automotive mass transit, but one thing does standout is the portable electronics and you talk about the past on extended business in that particular segment. Can you just talk a little bit more other than the back pad business or that new application, anything else its interesting there. And also just want to get a sense of the visibility in that particular business because you talk about the consumer electronics pretty long supply changes, want to get a sense like, are you selling to demand right now or you’re selling ahead or behind. Just want to get a sense of where you are at? Thanks.
Bruce Hoechner: Okay Joan, so a couple of things. On the portable electronics, we have a very - in EMS we have a very strong base load of portable electronics business. These are the gaskets that go around the cameras, the switches, the microphones and so forth and so that's a very nice base. That generally doesn't vary too much with designs, we're in and we're pretty well locked in there. Where we see variability is some design wins on things like back pads and so forth. And that's very specific to specific producers, OEMs. And so the visibility on that as we all know is not that good particularly on new designs because the OEMs keep their design decisions tight to their vest until they get very close to introduction and then we’ll get the notifications. So that's a bit of the visibility issue that we in that sector. Overall, we still see this as a very good opportunity for us particularly as we see progression towards the OLEDs. We right now have had some success with smaller manufacturers in handheld equipment, handheld devices for OLED but these are some of the smaller folks. We still see opportunities with the bigger producers of portable electronics that we are not counting on it at this point. So it's not in our guidance, and we see this as an upside and we continue to work very closely with those OEMs to provide solutions that meet their needs and I will also say in that sector, that's a very competitive area for us right now.
Joan Tong: So when you sell your products to - like specifically related to OLED, you don’t sell to the OLED vendors, you sell directly to the OEM, the phone OEMs, am I correct?
Bruce Hoechner: Well, the way it works actually is the - the phone OEMs get us on the design, on their design blueprints and then those blueprints are provided to a group that will cut the gaskets or cut the materials and then provide it to the assemblers. So we get specified in by the OEMs. We actually sell to the converters based on the demands of the OEM.
Joan Tong: Okay. And if I were to ask you about market-size like you know, how big is the opportunity, I know that's still early on you were selling to a bunch of small guys but any sort of indication how we think about this long-term markets like in terms of size and growth rate?
Bruce Hoechner: Well certainly it will be determined by the conversion to OLED displays and we've seen some things in the press one of the large OEMs is saying that their next generation will have three different designs. One of which will have OLED the other two LCDs so I think the market size will evolve. It certainly tremendous opportunity, but I think it's a timing issue and a performance issue on the part of what's required and what we can provide those folks and again this is not built in to our go forward guidance we're still working very closely to see how it all turns out here.
Joan Tong: Okay. And thank you. And I have question on the hybrid electric vehicle that particular segments what do you guys call advance mobility it seems like it’s doing pretty well and obviously in certain country for example China is very local about like the supporting or subsiding like consumers on that front. Any other regions you’re seeing outside China and Asia it’s doing particularly well and can you just give us some color on that? Thanks.
Bruce Hoechner: Well again included in advanced mobility is what we call [indiscernible] wire which is the electrification of the internal combustion engine system so this is the power steering power brakes those kinds of air-conditioning, those kind of controls which require high energy switchgear which of course plays well to our elastomeric materials. So we see that growing quite well and that’s across the board that's not just in China that's across all regions across all core manufacturers. So we see that as a very nice tailwind for our business and we continue to see strength certainly in the United States with the one major electric vehicle manufacturer. They’re talking about some very big growth numbers when they come out with their new model their smaller lower cost model. So we see that also as a growth driver for us, but I will tell you the data indicates that China is the leader in EV manufacturing and we continue to participate there as well.
Joan Tong: Okay. Very good. Thank you, guys.
Operator: And your next question comes from the line of Sean Hannan with Needham and Company. Please go ahead.
Sean Hannan: Yes, good morning folks. Thanks very much for taking the question here. Just want to see if I can go back to talk a little bit about the quarter if there is a way maybe if you can detail a little bit more on your perspective in looking at the demand that you saw in terms of where your specific surprises were. And to what extent is there any possible that they may have been some pull ins or other factors and then I suppose part B to that when you think about your guidance for next quarter is it really the sustainability of what you're seeing our current demand conditions excluding that seasonal factors say that would come from the wireless business? Thanks.
Bruce Hoechner: Thanks Sean. In the quarter and in Q1 there were some pull ins that I think we've outlined in some of our prepared statements and they were some things that were pushed forward into Q1 from Q4 and some pull ins from Q2 into Q1. So that’s part of the change in Q2 guidance. The other part of Q2 guidance that’s impacting is as we mentioned particularly with ACS we’re projecting some slowing there in the 4G LTE area going from Q1 to Q2. So that's part of it and we that has impacted us and also EMS a little bit of slowing on the portable electronics as well that we’re looking at. But we’re also looking at some outperformance and continued strong performance with our acquisitions going into Q2. So it's a bit of a mixed bag we still see good growth across all of the businesses in Q2, but there were some of these pull ins and push outs that affected us in Q1.
Sean Hannan: Okay. And then on the SG&A so I know it has been touched on a few times and obviously being able to generate the type of operating margins you guys did it’s well above that kind of minimum thresholds 15% target I think that you’ve talked about in the past. I thought that I heard something about some one-time factors and some derivative contracts that had created an impact there. So just want to see if I could understand that a little bit better it seems perhaps that your guidance might be implying an operating margin here 18% for next quarter so I just wanted to get a little bit more clarity around this? Thanks.
Janice Stipp: Yes, I mean we had some one-timers obviously derivatives that copper we don’t hedge as talked about we don’t have hedge accounting so we have take the gain as it comes because of the fact that we use different sizes and we actually use process copper the gap is changing we’re hoping to get hedge accounting in the future. So that was about $1 million that favorable we had favorable hub care around $600,000 that happen to hit us also that was quite for us. So there is a couple of one-timers that we don’t anticipate that will actually improve. And yes the derivatives are not in the SG&A but the other income on that. And then the SG&A we actually just had some things time out obviously we get increased SG&A due to our acquisitions that is about $1 million that we actually as we acquire we have SG&A that comes with these divisions so that was the about $1 million that will continue on that it will get better. And then some of the cost we actually we’re just pushed out from quarter-to-quarter that is going to end up in the second quarter that was not in the first quarter and just sweet timing of some of the expenses and that’s about going $1 million that we see quarter-to-quarter that will go into the second quarter?
Sean Hannan: Okay, thank you. And then there were some commentary I think around ACS in terms of that there were some slight price concessions as a consequence of volume. Just trying to understand is that specific to auto or ADAS what was that relevant to and what type of future reductions would we potentially see in pricing just trying to understand some sensitivity around that? Thanks.
Bruce Hoechner: Yes, so on the pricing side its minimal quite frankly I think we just felt that because it was a bit there we wanted to report it, but certainly what we’re seeing going forward is pricing stability. We don't anticipate any major movement on pricing for us as we look out. What we’ve historically done on pricing and we've reported this in the past big contracts that give us significant volume and lock in with some of these bigger customers and in the end it's certainly a huge benefit to Rogers. So we do not see that right now some of these contracts are going for multi-years so we’re not on a year-to-year basis we're not seeing any movement down on pricing.
Sean Hannan: Okay. And then last question here obviously with the acquisitions you guys have done and how you’re performing organically your performing very well. Is this point in time now where you continue to ride this performance try to maximize what you've acquired, what you've developed internally or is M&A still very much on the table in order to bolt on here or even in 2017? Thanks.
Bruce Hoechner: So as I talked about in my remarks M&A is still core part of our strategy moving forward where we continue to seek synergistic targets I think what we've demonstrated with Armand, DeWAL and DSP these are the types of acquisitions that we are able to leverage our infrastructure, able to leverage our capabilities very quickly and show a nice synergies on the cost side but also on the revenue side. So we continue to be out looking in the marketplace for these kinds of opportunities and as I said, this is still part of our core strategy moving forward. I will also say that our organization is busily integrating these acquisitions and we have robust targets and timetables for that to occur and we feel very good about the progress so far with each acquisition we refine our processes and our approaches and continue to really add value as we move forward.
Operator: And we have no further questions in the queue at this time. I will turn the call back over to Bruce Hoechner.
Bruce Hoechner : Well, thank you everyone for joining us. As we look forward, we see some really good opportunities moving into Q2 and we look forward to another great quarter. So thanks for joining us and we'll talk to you soon.
Operator: Thank you to everyone for attending. This will conclude today's conference call. You may now disconnect.